Operator: Good morning. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the FactSet Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. [Operator Instructions]. I'll now turn the call over to Rima Hyder, Vice President Investor Relations. You may begin your conference.
Rima Hyder: Thank you, Mike and good morning everyone. Welcome to FactSet’s second quarter 2017 earnings conference call. Before we begin I would like to point out that this slide we will reference during the course of this presentation can be accessed via the website on the Investor Relations section of our website at factset.com. The slides will be posted on our website at the conclusion of this call. A replay of today's call will be available via phone and on our website. This conference call is being transcribed in real time by FactSet CallStreet service and is being broadcast live at FactSet.com. After our prepared remarks we will open the call to questions from investors, to be fair to everyone please limit yourself to one question plus a follow up. Before we discuss our results, I encourage all listeners to review the legal notice on Slide 2, which explains the risk for forward-looking statements and the use of non-GAAP financial measures. Additionally, please refer to our Form 10-K and 10-Q for a discussion of risk factors that could cause actual results to differ materially from these forward-looking statements. Our slide presentation and discussions on this call will include certain non-GAAP financial measures, for such measures reconciliations to the most directly comparably GAAP measure are on the appendix to the presentation and in our earnings release issued this morning. This non-GAAP information should be considered supplemental nature and should not be considered in isolation or as a substitute for the related financial information prepared in accordance of GAAP. In addition, these non-GAAP financial measures may not be the same as similarly entitled measures report by other companies. Joining me today are Phil Snow, Chief Executive Officer and Maurizio Nicolelli, Chief Financial Officer. I would now like to turn the discussion over to Phil.
Phil Snow: Thanks Rima, good morning everyone and thank you for joining us on our call today. You just heard from Rima Hyder who is our new head of Investor Relations and Rima is going to serve as the primary liaison with FactSet shareholders and the investment community and we are really happy that Hyder joined the FactSet team. I know you are all going to really enjoy working with her. At FactSet we partner with our client to solve their greatest challenges. And over the last year we have added significant building blocks through both innovation and acquisition to serve even more critical work flows for the investment community. The market is continually looking for ways to better manage risk and be more efficient and FactSet is perfectly suited to help. In parallel to enhancing our core work stations we have rapidly evolved our products suite to provide new solutions for our clients and to do it in new ways. We are really excited that across the enterprise our clients are now able to move on FactSet through the investment life cycle from research to portfolio management to trading to analytics and to client reporting. Let me now give you a quick overview of our quarterly results. Our organic revenues grew 7% year-over-year, ASV during the second quarter grew organically at 6.5%. Adjusted diluted EPS increased 14% to a $1.81 higher than the mid-point of where we guided to last quarter. Our adjusted operating margin at 33% was at the mid-point of our guidance range. While we did see positive results, the organic ASV and revenue growth was below what we saw last year. Our results were impacted by the cost pressure across the financial industry driven in part by the shift from active to passive investments. This quarter we saw an increase in sales offset by a higher number of cancellations from the same quarter a year ago. We had a broad portfolio of wins across markets segment and geographies and including our price increase in the Americas, our organic ASV grew $16 million over the last three months. We saw great traction from million acquisition and exciting new wins in the wealth management business. It is difficult to predict if headwinds will lessen overtime, but what we do now is that FactSet has a resilient business model of one that has previously executed well in a tough market. As you can see in our slide presentation, our business can be cyclical and organic ASV growth rates have fluctuated over the years, but that’s been a constant theme of growth. This growth combined with our commitment to return value to shareholders has greatly benefited our investors over the years. We continue to see a strong growth in the Asia-Pac and EMEA regions which is now represent the higher 35% of our overall ASV. The international markets have been a growth driver and for us at times a good hedge to the market conditions in the U.S. Our recent acquisitions provide us with a greater footprint in Europe and opens up more market share for us in the Asia-Pac region. We have definitely not satisfied with our current growth levels, you've heard me said before that there is a growing opportunity with our existing clients as we broaden our suite of offerings across different work flows and asset classes. Our recent acquisitions play a key role in unlocking more that opportunity. Last quarter, I spoke about seeing a healthy deployment across our wealth business, and how it's an area of growth that affects us. In January, we announced our intent to acquire interactive data managed solutions or IDMS. IDMS is a leading managed solutions and portal provider for the wealth management industry. This acquisition when completed will add significant scale and scope to our wealth business in the Americas and EMEA and with access to current footprint in Asia-Pac, it also gives us an exciting opportunity to expand our wealth business in that region. Just last week, we acquired BISAM Technologies, a leading provider of portfolio performance in attribution, multi-asset risk, GIPS composites management and reporting. B-One, BISAM’s award-winning platform is an outstanding compliment of both FactSet's portfolio analytics suite and client reporting solutions. The acquisition of BISAM is aligned with our strategy to better serve the critical workflows in the entire portfolio lifecycle. At FactSet, we are at the perfect intersections of technology and finance which fuels on our thinking on product innovation. The world's more open than it's ever been and both volume and access to information are now at unprecedented levels. We see clients willing to outsource and move more workflows to cloud base solution. With a significant investment and upgrades to our technology stack combined with our content and analytics, we are now able to offer new ways for clients to leverage the power of FactSet. In summary, FactSet has a resilient business model and best-in-class products with very strong client service. This powerful combination sets us apart from our competitors. We know how to innovate and engineer the most efficient tools for the financial industry and at the same time we continue to maintain financial discipline through cost controls, a lower effective tax rate and an accretive share repurchase program allowing us to return value for our shareholders. Over the last six years to-date the average cash returned to our shareholders is 94% of free cash flow. Looking ahead to the second half of 2017 we're focused on the integration of our recent acquisitions and are excited about the opportunity to cross-sell a broad suite of solutions into our blue chip client base. Let me now turn the call over to Maurizio to talk about the second quarter financial results and third quarter outlook. Maurizio?
Maurizio Nicolelli: Thank you, Phil, and good morning to everyone on the call. In the second quarter we continued to grow ASV and EPS and delivered solid results within our guidance range. As Phil stated we are investing in our future growth with the goal of offering our clients complete enterprise solutions for their investment portfolio lifecycle. Let's now go through the second quarter results, GAAP revenues in the second quarter increased 4.5% to 294 million and 7% to 282 million on organic basis versus the second quarter of 2016. GAAP revenues from the second quarter of 2016 included the Market Metrics business which was sold in the fourth quarter of 2016. Organic ASV increased 6.5% year-over-year and 16 million from our first quarter of fiscal '17. This increase was primarily driven by price increases of 9.5 million and new sales opportunities offset by cancellations. U.S. revenues grew a 192 million, organic revenues in the U.S. were up 6% compared to the year ago second quarter. International revenues increased to a 103 million, on an organic basis the international growth rate was 9%. International business continues to perform well and as Phil already stated it continues to be a growing part of our overall ASV. Moving down the income statement, let's take a look at our operating expenses. Operating expenses for the second quarter totaled 203 million, an increase of 3% year-over-year. Second quarter cost of services expressed as a percentage of revenues increased slightly by 70 basis points compared to the year ago period. The increase was driven by higher compensation due to base salary changes after the annual review cycle, incremental hires in our centers of excellence in India and the Philippines, and acquisitions from CYMBA and Vermilion offset by lower data costs related to the sale of Market Metrics. SG&A expenses expressed as a percentage of revenues were down a 160 basis points compared to the second quarter of fiscal 2016, the decrease was primarily as a result of lower employee compensation due to the sale of the Market Metrics business in the fourth quarter of fiscal 2016 and higher rent expense from new office locations. Our adjusted operating margin excluding 1 million in acquisition cost for professional fees from the recently announced BISAM and IDMS transactions, and 4 million of intangible asset amortization was flat at 33% this quarter versus the second quarter of 2016. Adjustment operating income grew 4.5% to 97 million excluding 4 million of intangible asset amortization and the 1.4 million of non-recurring acquisition costs. Adjusted net income which excludes non-recurring acquisition related costs, intangible asset amortization and the working capital adjustment to the Market Metrics disposition increased 9% to 72 million while adjusted diluted EPS grew 14% to $1.81. Free cash flow for our second quarter was $71 million, a decrease of approximately $10 million from the same period last year. We define free cash flow as cash generated from operations less capital spending. The $10 million decrease was the result of higher client receivables. Our DSOs were 40 days at the end of the second quarter compared to 34 days in the prior year period. The increase in days is driven by our recent acquisitions the timing of client payments and lower number of business days in February 2017. It's important to note that two-thirds of the accounts receivable balance increase was from billings outstanding 60 days or less. You may have noticed in the press release we issued this morning that we changed our definition for client and user account. Our client count definition now captures clients with ASV greater than $10,000 versus the previous threshold of 24,000. This lower threshold allows us to capture smaller clients such as family offices and smaller hedge funds as well as more data feed clients. As our business evolve and we look to align our metrics internally and externally and enhance our disclosures we felt we needed to update how we account for clients. Our net client count increased by 143 clients this quarter to over 4,400. Our net user count increased approximately 1,500 users to over 85,000. The new user count definition accounts for users from workstations previously not captured due to certain product bundling and also users of the street account web product. The increase was driven by workstation deployments across wealth management as well as displacement of key competitors' at large institutional clients. We have provided you with schedules of historical client and user counts under the old and new definition on the back of our press release. We re-purchased approximately 480,000 shares for $181 million during the second quarter under our existing share re-purchase program. As Phil stated, we have continued to return value to our shareholders. Over the last 12 months we have returned over $485 million to stockholders in the form of share re-purchases and dividends. Recently our Board of Directors approved a $300 million expansion to the existing share re-purchase program, including this expansion approximately $337 million is currently available for future share re-purchases. In our third quarter we entered into a new credit agreement and borrowed 575 million at favorable rates to pay for the BISAM acquisition and our existing -- and repay our existing debt of 365 million. We remain committed to returning capital to shareholders and maintain a balanced capital allocation framework. Now let's turn to guidance for the third quarter of fiscal 2017. For the fiscal third quarter we expect our GAAP revenues to be in the range of 301 million and 307 million. BISAM is expected to add approximately $6 million to third quarter revenues. The midpoint of our organic revenue guidance is 6%. The proposed IDMS acquisition is not included in these numbers as it is expected to close later in our fiscal third quarter. We plan to update our third quarter guidance once IDMS is closed. Our GAAP operating margin is expected to be in the range of 30% and 31% which includes a 90 basis points reduction from BISAM. Adjusted operating margin is expected to be in the range of 32% and 33% which includes a 30 basis points reduction from BISAM. The annual effective tax rate is expected to be in the range of 25% and 26%. GAAP diluted EPS is expected to be in the range of $1.68 and $1.74, and adjusted diluted EPS is expected to be in the range of $1.80 and $1.86. The midpoint of the adjusted diluted EPS range represents 12% growth over the prior year. In summary, we're pleased to see our solid performance in the current marketing conditions. Our continuing growth this quarter highlights the strength of our business model and we remain confident in our ability of return value to our shareholders. Thank you for your participation in today's call. We are now ready for your questions.
Operator: [Operator Instruction] Your first question is from Bill Warmington from Wells Fargo.
Bill Warmington: So, you mentioned in your comments the impact that you are seeing from the shift from active to passive, and I mean it's well known in industry this is something that’s been going on for a number of years. And so my question is, are seeing something in terms of a tipping point in terms of cost or headcount or something else that is starting to impact the industry and I am asking also in terms of how we should model out the rest of 2017 in terms of ASV growth?
Phil Snow: That’s a great question Bill, thank you. So it is an ongoing trend, I would say that what we are observing is that trend is more pronounced in the Americas than we are seeing in the EMEA and Asia-Pac region and you see that reflected in our growth rates. So we anticipate that it will continue to had in this directions for little while, what I would say is that we have a broader suite of solutions that we had historically to help mitigates some of that. First of all, we have a multi-asset class system now, so we have lot of client using us for fixed income capabilities, and a lot of our products we've throughout analytics and research and our mass [ph] is very well stood it to passive investors as well as active investors. So it's a trend that we're aware of. It's definitely putting cost pressure particularly on the Americas investment management inside of the business. But it's one that with our recent acquisition and innovation we feel like we are in a good position to address.
Bill Warmington: And for my follow up question, on the BISAM acquisition, how does that fit in to FactSet strategically? Because FactSet has historically been a distributor of third quarter party models, [indiscernible] Northfield, Axioma and it would seem that BISAM would in some ways compete with this firms, so that’s the question.
Phil Snow: Yes, so actually it doesn’t really compete with them. BISAM is really a performance system, so it gives a client lock down returns for the official performance that they're reporting to their clients and the market. BISAM did a very small acquisition of a firm called Cognity. So it does have some risk capabilities in it, but it's primarily a performance system. It's something that FactSet has looked to build for a long time. We were making some progress but when the opportunity to go out and get the market leader -- to add it to the power of our portfolio analysis product, we were very excited by that and I can tell you that the reaction from our clients has been exceptionally positive. I'm out here in San Francisco this week with the team and a lot of the sales people out here have been telling me that their clients have actually been sending them congratulations emails and can't wait to have a meeting.
Operator: The next question is from Anjaneya Singh from Credit Suisse.
Anjaneya Singh: First off, I was wondering if you can speak to the portfolio, ones you referenced earlier Phil. Any sense of the geography, client profile, buy-side versus sell-side versus what we've been seeing recently from you guys, and as you look to improve your growth profile what is it that we need to see for that to happen is it the market environment needing to improve or stabilize a little bit or is it something your acquisitions and solutions needing to gain greater scale?
Phil Snow: I'll go over a few things here, so on a regional basis we've reported, we did very well in Asia-Pac, that continues to be a strong region for us, we're very focused on it. EMEA came in strong and we were little bit weaker in the Americas. In terms of client types, we did exceptionally well again this quarter with well end-client sponsors [ph]. From our product suite standpoint the analytics suite had a very good quarter, and what I do want to highlight, I mentioned it in my earlier comments is we actually sold more products this Q2 then we did last Q2. The pressure that we saw was in the existing clients, the cost pressures that they're facing. So we're seeing consolidation of funds and on the desktop, it's becoming sort of a market share gain where somebody that had a couple of services historically is now being forced to choose between one or the other and we did see more users leaving the firm. So we have a strong pipeline, our sales team that's out there executing very well, but we are facing this headwind of cancellations within clients. I would say and I've said this before that, part of our largest opportunity really is in our blue chip client base. So when you look at FactSet's Top 100 clients, that's a large percentage of our ASV. These are long standing clients, they're not going anywhere and with the recent acquisitions that we have, we have a real opportunity to cross-sell what we bought and as we integrate it, unlock even more opportunity for those clients moving forward. So that's one of the things that we're very focused on and we don't necessarily need to see the markets turned around for us to grow faster. We're -- our thesis is that we can do that by executing well on the strategy that we've laid out to the firm.
Anjaneya Singh: And one for Maurizio, that's similar, Maurizio if you had to parse out it down year-over-year margins implied in your guidance adjusting for a BISAM, what would you say are the biggest drivers here perhaps how much is due to your product suite changes versus ASV deceleration and what do we need to see for the margin performance to sort of stabilize year-over-year and perhaps improve?
Maurizio Nicolelli: So, when we look at the margins of FactSet, pre the most recent acquisitions, it is very comparable to our margins historically. And so what we need to see is, we need to continue to grow these ASV from these acquisitions and embed these into our product suite so that we can push up the margin overall from the cost that -- or from the base that we acquired from each one of these acquisitions. We have done that with [indiscernible] and quarter-by-quarter the margin of that business has gotten more and more towards the FactSet overall margin. But we need to continue doing that as we purchased a number of companies over the last six months. And so in doing that that gets our margin back to historical levels and then as we grow ASV in the coming years that’s when we will see more leverage in our margin.
Operator: The next question is from Shlomo Rosenbaum from Stifel.
Shlomo Rosenbaum: Phil, can you talk a little bit more about what BISAM does that you guys were not already doing, it seems that you had a pretty decent or very robust platform in light of the portfolio attribution stuff. And can you also comment on like how fast the companies where growing, a little bit more just specificity from Maurizio on the margin profiles of the businesses.
Phil Snow: So yes, the main difference with the performance system is that the returns are locked down historically and then you get a degree of accuracy out of multiple basis points for official client reporting. PA does that in some cases but the real power of PA for our clients really with the flexibility in the system, the ability to do Ad Hoc analysis within the middle office. And some client reporting, this really does takes it to another level. So BISAM is a firm that we would run into all the time within our largest clients, in fact most of the BISAM clients are already FactSet clients, and connecting the two systems together and adding the risk capabilities that we have and the publishing solutions that really just creates a powerhouse suite for us, for our clients in the performance area. And it was a missing piece, it's one that we've know about four or five years and just not had the ability internally to build to the quality of something that BISAM has been doing from much longer.
Shlomo Rosenbaum: And how fast were they growing?
Maurizio Nicolelli: So the growth rate BISAM is higher than the rest of FactSet, it's in double digit growth rates historically and that’s the trend going forward for BISAM.
Shlomo Rosenbaum: Can I sneak one in, Maurizio, can you give the organic growth rate at both ends of the guidance range? Is it five to seven getting you to six or is there little bit more specificity?
Maurizio Nicolelli: No, that’s essentially the range is right at between 5% and 7%. And that’s why I gave the middle of that range of 6%. That’s right in the middle of that range.
Operator: The next question is from Peter Appert from Piper Jaffray.
Peter Appert: So Phil, you have done a hand full of larger transactions here in last couple of year in M&A market. So I am wondering if maybe your attitude towards M&A has changed, has it become more important to the growth story and what's missing in the portfolio now that you would like to have?
Phil Snow: Great question. No, it's not importance of the growth story, we have been very intentional about going out and finding some pieces for the investment management workflow that we decided it would be easiest to acquire and integrate than build ourselves. So [indiscernible], CYMBA, Vermilion and BISAM them all represents what we considered to be good workflows for us to integrate with the already fantastic FactSet products. So we are not out in the market looking for tons of acquisitions to grow, that’s not it, and with its latest acquisition of BISAM now we feel very well positions so that investment lifecycle, what we talked about on the call earlier. So that’s -- our focus now is going to be shifting to the integration and cross-selling of these acquisitions, we are not going -- if the right asset comes up and it is something we are interested in, we'll be opportunistic, but we are not going to go out and continue at this pace.
Peter Appert: Got it, thank you. And then Maurizio, maybe I am reading too much into this, but I think in response to earlier question about trends in margin, you suggested that one points at the completion of the integration of the acquired properties is completed, we could expect to see some leverage in margins, does that suggest that your view has changed a little bit, because I think historically you have talked about keeping margins essentially flat on a go forward basis. Would the objective now be to try to move the margins up some overtime?
Maurizio Nicolelli: So what I was alluding to was, our margin has been affected by these acquisitions and it has been -- it's trended slightly lower from each of the acquisitions. The goal is to get that margin of these acquisitions back to the historical FactSet margin, and then over the coming years as we continue to grow the business, we would expect some greater leverage within our margin going forward as we scale the business.
Peter Appert: So for the company in total, you would look for some improvement in margin overtime. A part from just --.
Maurizio Nicolelli: Overtime.
Peter Appert: Okay. So not just return -- sorry to be so specific on this, but not just to return to where you were historically but to get back to where you were and then perhaps to grow it from that level?
Maurizio Nicolelli: Correct, in the coming years, correct.
Peter Appert: Understood, okay. And then just one last thing -- sorry the -- Phil, is it possible to quantify the scale of the opportunity you see in some of the other asset classes that you are getting involved in?
Phil Snow: I would just say overall, we view the addressable market for us with the products we have today at 10 times the revenues of FactSet. And as we continue to integrate and build out more capabilities that potential market share could or potential market could increase. So we view, there is tons of stuff in front of us that we can go out and exceed on, not just in terms of suites in the industry, but in terms of off platform solutions and enterprise solutions.
Operator: And the next question is from Peter Heckmann from Avondale.
Peter Heckmann: My question is on IDMS, it seems one could infer from your commentary so far that the acquisition is relatively small, but it appears based on our research that it could be double the -- more than double the revenue BISAM, can you help us bracket that? I know that deals not closed yet, but certainly we would expect it to close that in the next 30 days. I would like to include in model, so could you bracket some of the potential revenue addition margin and then bracket the purchase price?
Maurizio Nicolelli: Peter, it's Maurizio. Unfortunately, we can't give that information just yet because it's not closed. As soon as it closes, when we send out the press release on the closing of the acquisition, we will include our guidance updates and include the information that you are looking for.
Peter Heckmann: Okay. I'll try a different one [Multiple Speakers]. You changed the methodology on the metrics for clients and users, could you give us the numbers on the old methodology for one final quarter, so we can kind of compare it to what we are forecasting?
Maurizio Nicolelli: Yes, so the metrics on the old methodology on their users and clients are very similar to the increases historically in both of those categories. There is not a significant change in the quarter under the old methodology and again we made this change so that externally -- we're portraying the business very closely to how we're measuring the business internally.
Operator: The next question is from Manav Patnaik from Barclays.
Unidentified Analyst: Hi, this is actually Greg calling on from Manav. Just wondering as you broaden the suite of products that you are offering to the clients; from a commercial perspective does the conversation go more to an enterprise type model versus proceed or how you guys are thinking about that?
Phil Snow: Yes, that's a great question Greg, it's something we're looking very closely at and you bring up the good point. I think the way that we want to and in some ways have been charging our clients is really the value that they're receiving from our service. So if that's an enterprise solution, whether it's a suite, that's the way we're beginning to think about it. And as we broadened our suite our products not just with CPS and analytics, but with these acquisitions we're beginning to take a much closer look at that and we're becoming less levered to the workstation number that you've been used to seeing from us.
Unidentified Analyst: Fair enough. And then maybe you can give an update on the FactSet web rollout, I think you rolled it out last quarter and traction there, and what you're hearing from clients?
Phil Snow: It's early days, we're hearing positive things, the new technology that we have really provides a more intuitive user experience on the web product. We're still converting some of our more advanced applications, we expect our flagship screening product to be in there very shortly with some really nice default reports for clients that we didn't have in the older version. We'll be moving PA into the web version soon. So all the work we've done for PA3, and there is a lot of investor mangers they're getting to use will be over there. So I think once we get the bulk of acquisition in there, we'll begin to see a broader uptake for the web product.
Operator: The next question is from Hamzah Mazari from Macquarie.
Hamzah Mazari: Maybe if you could just frame for us how much less mature is your European business versus both Asia and the U.S. and any potential regulatory changes in that landscape that could impact you, either positive or negative?
Phil Snow: So, I think we do see more upside in those regions just based on some of the trends I already mentioned, as well as they are less mature markets for us. Majority of the acquisitions that we've done recently also have a good footprint in Europe that allows us to cross-sell these existing FactSet suites, and many of the acquisitions don’t have any presence in Asia, they did not have the scale essentially to go out there. So we got offices all over the Asia-Pac region, and that's going to provide us a great opportunity to cross-sell those products with the existing FactSet footprint. On the regulatory side that is definitely an opportunity for us, that we're already capitalizing on that in some ways in Europe. We have a lot of solutions outside of the workstation where we package our content and analytics in a way that solves various regulatory requirements like Solvency II. We're getting a lot of interest around method and what we're doing there. We have solutions within the Portware [ph] application and does allow clients to solve product methods. So we look at regulatory as a growing opportunity for us and we will look facing more focus on.
Hamzah Mazari: Great and just a follow up question you referenced acquisitions versus build yourself sort of the credit offering in doing some of these deals. Could you maybe frame for us what does the competitive environment look like on the workflow side? We are very familiar on the desktop side and what's going on there. But are you competing with one or two big guys, is it mostly customers doing this in house themselves? Who do you view as sort of your biggest competitor on the workflow side? And maybe there is just several, but any color around that would be great. Thank you.
Phil Snow: I think those are very good questions. I think the way I would like to answer that is one of the themes that we are really hearing from our clients is that they want to see more consistent data across their enterprise. So the data that they are using in the middle office in the portfolio managers and traders will be using in the front office really the great thirst within our userbase to see consistent data. So that’s really what's been driving a lot of our activity here and as we integrate the data and get the content flowing between the systems we are going to be able to satisfy that need for our clients.
Operator: The next question is from Warren Gardiner from Evercore.
Warren Gardiner: On the method two comments, it sounds like your client base was kind of moving to press a bit more, can you just kind of give some more color on the opportunity that you kind of see arising there either in terms of new your products or market share gains?
Phil Snow: It’s a great question. So we are still looking at that, we can solve different pieces of it. It is a large opportunity and knowing that’s where a level the cost pressure is coming from and the client base it’s that they are -- it's not just a shift from active to passive, but it's the need to spend more on regulatory solutions. So it's really the opportunity is packaging a lot of the content we have in small ways for the clients creating analytics. We have got a lot of building blocks but we are still in the process of putting all that together. So it's too early for me to really give you a sense of what the true opportunity is there.
Warren Gardiner: And is there anything we should maybe think about in terms of how the buyer side kind of currently pays you right now? Maybe this is more serve on the Portware [ph] side, but is that, we should kind of consider as that regulation comes into force and I guess specifically with respect to maybe unbundling or things like that?
Maurizio Nicolelli: No, we don’t see any significant change there to be quite honest.
Operator: The next question is from Glenn Greene from Oppenheimer.
Glenn Greene: I wanted to go back to the cancellations phenomenon just wanted to get a sense as this sort of the same dynamic you have been talking about for a couple of quarters and is it accelerating? And also you have sort of alluded to the importance of your Top 100 client, could you contrast the cancellation trends you are seeing in the Top 100 clients versus I guess non-Top 100 clients?
Phil Snow: Yes, we can't provide you that level of detail, but I would say this comps pressure is ongoing. I wouldn’t say that its necessarily accelerating. I mean it's just a combination of point merging, layoffs, uses no longer with firms and some of the areas that FactSet serves, and a certain amount of cost pressure as clients consolidate sometimes what we'll do is we'll have long term contracts with the clients, but you know its cost pressure on the existing business essentially as we move forward.
Glenn Greene: And I assumed this sort of explains the deceleration and the domestic ASV growth communicable, looks like it was down order of magnitude of 150 basis points. And it looks -- sounds like your pricing that usually put in place this quarter was pretty status quo versus the year ago.
Phil Snow: Yes, so I would say net new business, just in terms of the smaller points that we added a lot and the price increase was consistently last year. The difference that you saw was in the existing client base. One thing I will point out is that traditionally, we included our SP&A or Strategic Partnerships and Alliances revenue with our investment management revenue. And that’s a very lumpy business, very often seven figure deals, and there are a couple of things that happened in this quarter that were part of that. So that’s some of the drag that you are seeing on the IM business.
Glenn Greene: And it sounded like from some of your commentary, the wealth management solution continues the trend at a pretty robust clip, so there is no drag there, if anything that [Multiple Speakers].
Phil Snow: It did really well. So in the uptick that you saw in receipts for us this quarter, there were a couple of really exciting wealth wins and a very large win on the sell side of the global banking and research group.
Glenn Greene: That’s great. Thanks a lot.
Operator: The next question is from Joseph Foresi from Cantor Fitzgerald.
Joseph Foresi: Is the global syntax index and attempt to get into the indexing market and do you see opportunities there?
Phil Snow: I think what you have -- great question Joe. This is really just a continuation of really partnering this firms out there to help them with -- build indices and BCFs with our reviewer [ph] contents. So we have got fantastically detailed taxonomy, industry classification and a lot of firms and leveraging that in that way. So we partner, I think with a firm over in Asia for this one.
Joseph Foresi: Okay, and anyway to quantify the new opportunities in the portfolio versus yield, even a ballpark would be great, are the new opportunities 25% of the portfolio, are they 50% just trying to get some idea there? Thanks.
Phil Snow: Can you -- I didn’t quite understand the question, can you restate that?
Joseph Foresi: So, it's sounds like you are kind of mixing your portfolio here, you have got some stuff that’s kind of not doing so well, the active management, the BISAM maybe in the investor banking, but then you got a number of things that are doing well, including multi-asset class, wealth management internationally. So I am just trying to get a feel for what percentage of your portfolio you think is doing very well, some of the new opportunities that you highlighted versus some of the standard stuff that you have provided in the past that maybe isn’t doing as well, is it a quarter of the portfolio, it is half of the portfolio, just trying to get a sense there?
Phil Snow: So you mentioned a lot of different dimensions there, there is geography, there is client side, there is workflow. I mean we see great opportunities throughout the whole portfolio. It's a little bit different each quarter, but we are still growing. We are doing well in investment management, we're just not growing as fast as we did the last three quarters. But we see a way for us to kind of reaccelerate that with all of the great product that we have in the integration that we going to do.
Joseph Foresi: Okay thanks.
Operator: The next question is from Alex Kramm from UBS.
Alex Kramm: Sorry if this came up in the prepared remark, but I think this is for Maurizio, if I look at my model, it's seems like the employee count actually came down quarter-over-quarter, maybe just confirm if I have this right, and if this is correct, I mean what does this suggest in terms of what you are doing or what you are seeing out there, if you are reacting with some cuts internally here? So maybe just flush it out please.
Maurizio Nicolelli: Yes, so when you look at headcount between Q1 -- I am assuming you are affirming to Q1 to Q2?
Alex Kramm: Exactly.
Maurizio Nicolelli: So we were down about 121 employees in our headcount, just quarter-to-quarter and that was over 90% driven by attrition in [indiscernible]. If you look at our headcount here between the U.S. and Europe it was very stable. So, we had attrition in these locations, but we also had some new employee class as that started. So we were stable in headcount when you look at the U.S. and Europe.
Alex Kramm: And then just secondly, sorry to come back to the whole pressure discussions you had, you obviously gave a lot of color here, just to make sure I understand this right or maybe if should add a little bit, when you're talking about pressure, it is really a discussion mostly around the desktops side of the business or are you seeing selling pressure and cost consciousness also on some of the other things that you're doing away from the desktop I guess what I'm trying to say it, are you seeing the same kind of double-digit growth in the non-desktop business and is that really -- as a business shifts more towards those enterprise workflow solutions, we should feel more comfortable about the growth rate than if you were just a desktop player?
Phil Snow: Alex it's Phil, thanks for the question. So I would say if you aggregated our -- the acquisitions that we've done, as well as our CCS and our analytics business, that certainly is growing faster than the desktop business and its pressure on kind of the users of that fund and we're going to -- I think that's where the industry is heading, we're going to see more clients try to do more with enterprise solutions and less people.
Operator: The next question is from Tim McHugh from William Blair.
Stephen Sheldon: It's Stephen Sheldon in for Tim. You talked about some displacement in competitors within your larger client base, and some of that sounds like its driven by consolidation. So can you maybe talk about what you're seeing in terms of what's driving the decision between how they're consolidating vendor spend?
Maurizio Nicolelli: Can you -- I didn't understand the question, can you [Multiple Speakers].
Stephen Sheldon: Well, so if they're consolidating towards you guys, I guess why would you win, and if they're moving away, I guess just in a broad sense why -- if someone is consolidating and moving away from you, what's the reason that you might lose in those situations? [Multiple Speakers]
Maurizio Nicolelli: Yes, FactSet wins for a lot of different reasons, it's technology, content, analytics and service. Overall clients really do want to partner with us, they really trust FactSet. We've built very good relationships with our clients, the quality of our content is exceptionally high, the flexibility of our workstation is good, so clients can really customize their workflow to the way they want to do it and our consultants and our client facing staff are really the best in the market essentially, it's out there helping the client. So the long run we know we have the best people and we have a great product and we're very bullish about the future. In some cases we may not have all the pieces today that a client needs when they're consolidating and either for contractual reasons or other reasons we won't win this time, but we're really bullish that we'll win in the long run.
Stephen Sheldon: And then one more, I want to ask about leverage and specifically what level of debt to EBITDA you'd be comfortable with kind of going to if you continue to see attractive M&A opportunities?
Maurizio Nicolelli: The level of debt that we have on our books is less than 1.5 times our EBITDA and so there's significant amount of capacity if the right asset comes along that we need to go purchase. So, we've added -- we have 575 million of debt on our balance sheet, right around the cost of capital of 200 basis points. So it's very economical for us to have that debt on our books and to continue our buyback program going forward. But it just highlights that we have the capacity going forward if the right acquisition comes along.
Operator: The next question is from Andre Benjamin from Goldman Sachs.
Andre Benjamin: I guess my first question is the thought on the brand campaign, what you said in the press release was launch earlier this month. Just wondering what drove you to launch the campaign, how it compares to prior efforts and expected impacts on margins and revenues over the longer term.
Phil Snow: Yes, it has been a while since we refreshed the brand. Every company goes through these cycles. We hired a fantastic, head of marketing just over a year ago. And she went and did a bunch of research for us in the market place and what we really discovered is there was a bigger awareness gap in the market in terms of FactSet's capability. Even some of our bigger clients were really not fully informed about what we've done from the multi-asset class or feed standpoint. So we are at the beginning of this. I wouldn’t expect it to affect our margins in any way, but we got a really great response just in terms of media impressions from the kick off that we had a couple of weeks ago.
Andre Benjamin: And I guess the other question I wanted to ask in terms of financial deregulations I know it's hard to say, but have you had any conversations with any clients, if that were to go through about how they're thinking about that would impact their spending on FactSet's solutions or I guess if asked differently, is there anything incremental we should expect to see from you if the administrative does start to deregulate the financial industry.
Phil Snow: I think there is an opportunity in either directions. So if clients are forced to do more regulatory solutions we feel like we have great products to help them there and if there is less of a burden regulatory that means that there will be more money for our clients to spend on things like FactSet.
Andre Benjamin: I was just saying, if there was any specific product, but understood.
Phil Snow: Well I can give you one, so if the fiduciary rule goes through, which is I think one we got last quarter. We've got fantastic tools to people to evaluate ETFs versus mutual funds. And for the compliance and documentation part of that we have fantastic research management solutions, our code red solutions and our internal research nodes are very well suited for any regulatory solution that requires a good auditorium.
Operator: The next question is from Patrick O’Shaughnessy from Raymond James.
Patrick O’Shaughnessy: Yes, first question in terms of debt that you have been taking out to finance some of these acquisitions and presumably you will take out little bit more for IDMS, is there any appetite there to determine or are you comfortable maintaining the credit facility?
Maurizio Nicolelli: We are comfortable right now maintaining the credit facility going forward given where the cost of capital is today.
Patrick O’Shaughnessy: And then follow up question, I know this came up on the call a couple of quarters ago, but I am not sure I totally understood the explanation. Can you walk me through the apparent disconnect between your commentary on elevated cancellations and the fact that your client retention rate remains very stable at 95% of ASV?
Maurizio Nicolelli: Sure, this is Maurizio. So the calculation in our retention rate is really based on the last 12 months of clients that have cancelled and that ASV that is cancelled. Keep in mind when clients cancel, there are at the lower end of FactSet, all of our Top 100 clients don’t cancelled FactSet altogether. So with the ASV from cancelled clients in that calculation is from client that cancel FactSet a 100%, so that number is small compared to the overall total. It doesn’t capture existing client cancelation, and so that’s where you see the different between the two.
Operator: Last question is from Toni Kaplan from Morgan Stanley.
Unidentified Analyst: Hi, this is Patrick in for Toni. Phil, I believe you mentioned you think FactSet's market opportunity could amount to as much as 10 times your current share, can you give us a bit more color on the largest pieces of that opportunity either by user, product, workflow or geography?
Phil Snow: Sure, so I would say geographically, it's a pretty evenly split. When you look at some of our largest competitive which I am sure you are aware of you just have to look through really the research workflow, who the competitors all there, portfolio management and trading those are analytics space investment banking. So it's a well-known set of competitors and we think about the solutions that we have today, how much market share they have. That’s one way that we think about it. And the other thing that we are doing, you've heard me talk about the CTS business before I content and technology solutions, that’s a rapidly evolving suite of products which allows our clients to do very interesting things outside of the workstation and within their enterprise. So with some of the technology advances that we have had with our NextGen project, we are now actually able to unbundle if we wanted to certain pieces of the products and allow clients to use that within specific workflows with that building. So we are very bullish on that, there is a lot of other offerings within that suite, but that is an area of our business which will actually open up even more market share as we move forward.
Unidentified Analyst: Thanks Phil. And then just a quick follow up, do you feel any cost cutting pressures are less serious in wealth management? And then given there are many instances asset managers and financial advisors are frequently under the same roof, I am wondering if you have been able to bundle products enterprise wide contracts?
Phil Snow: So we are seeing -- that’s a relatively newer market for us, we are seeing less cost pressure there from an existing point. So I think it's more of a Greenfield opportunity. And we -- it has been a lower price solution than our institutional asset management solution which has allowed us to get market share and we are beginning now to do much larger deals with the technology advances that we have made and I think you'll see with IDMS, it opens up even more opportunity for us across the entire wealth spectrum. So what we'll have now are solutions that we can provide the wealth market all the way from the top end down to clients that need thousands of users, we are very excited about that, I think that’s going to be good opportunity for the company.
Unidentified Analyst: Appreciate the color. Thanks Phil.
Operator: That was our last question at this time. I’ll turn the call back over to the presenters for closing remarks.
Phil Snow: Thank you everyone. We look forward to talking to you again next quarter.
Operator: This concludes today's conference call. You may now disconnect.